Operator: Good day, everyone, and welcome to the Interactive Brokers fourth quarter 2010 earnings results conference call. (Operator Instructions). At this time, for opening remarks and introductions, we would like to turn the call over to Ms. Deborah Liston, Director of Investor Relations. Please go ahead.
Deborah Liston: Thank you. Welcome, everyone, and thank you for joining us this evening to review our results of the fourth quarter of 2010, which we just released after the close of trading. Joining me today on the call are Thomas Peterffy, our Chairman and CEO, and Paul Brody, Group CFO. This conference call is also being broadcast on the Internet and available through the Investor Relation section of our website at www.interactivebrokers.com. An archive of the call will be available for 90 days through the same link. Before we begin, I'd like to remind you that during the course of this call we will discuss some non-GAAP measures in talking about our company's performance. You can find a reconciliation of those measures to the nearest comparable GAAP measures in our press release. In addition, management may make forward-looking comments based on our current expectations and assumptions, which involve risks and uncertainties. Our actual results may differ materially from those indicated in these forward-looking statement due to certain risk factors that are described in our filings and made with the Securities and Exchange Commission. I also encourage you to review the forward-looking disclaimers in our press release. With that, let me turn the call over to Thomas.
Thomas Peterffy: Good afternoon, everyone. As you see from the text of our release, the past quarter's and year's performance is clouded by accounting conventions. I'm going to attempt to clear this up for you in as simple a manner as possible. Our CFO will give you the more thorough version after I'm finished. First, where do the losses come from? As you know, we paid $1 billion dividend about a month ago. The public company received its share of those dividends from accumulated retained earnings of Timber Hill in Europe, which is a Swiss company. These earnings have not been previously taxed in the US and, therefore, we have to pay taxes on this dividend. The tax was deducted from the dividend that our shareholders received. Nevertheless, since the tax needs to be accounted for as an expense, we must report it as such and that drives our GAAP earnings into negative. Second, as far as currency effects are concerned, our hedging strategy that translates our continuously changing currency exposure to a basket of currencies, that we call the GLOBAL has worked very well this year in spite of the turbulent currency markets. The value of the GLOBAL in US dollars ended up unchanged for the fourth quarter and changed only slightly, decreasing by 0.3% for the year. Thus currency fluctuations had no net effect on our non-GAAP earnings as reported in dollars for the last quarter and that presented approximately $13 million loss for the year. But as you know, we have many subsidiaries that around the world and they must account for their activities in the local currencies. We hedged these local currency balances to the GLOBAL and the hedging trades become part of our trading income. On the other hand, the corresponding changes in the value of these balances have to be reported as other comprehensive income, or OCI. Due to this reporting requirement, $148 million shifted from GAAP earnings to OCI for the year and the corresponding number for the quarter was -- .
Paul Brody: $62 million.
Thomas Peterffy: -- $62 million. Adding the $148 million plus another $10 million related to the dividend of unvested employee shares, to the reported $341 million brings our earnings for the year to $499 million, which is worse but not by a great deal worse than 2009. This would suggest that our business has declined moderately from 2009 to 2010 but the fact is that there are much more momentous changes that have occurred and continue to proceed underneath these numbers. Namely, our market making business is suffering while our brokerage business is prospering. Overall for the entire company, our non-GAAP profit margin was 47% for 2010. Our total equity capital, built solely on retained earnings, GAAP or non-GAAP, is $4.2 billion even after the $1 billion special dividends we paid out on December 21. Now I will review each of our businesses starting with market making. Our non-GAAP market making profits for the year were $238 million with a profit margin of 45% but the fact is that in the last quarter we only made $38 million in market making. In other words, market making performance declined from the preceding year to the current year and it also declined throughout the year. We achieved peak results in 2008 and since that time we have been witnessing a gradual decline in market making performance that is still going on. By now, 95% of listed option classes are trading in pennies. This, together with a surge in HFT activity, has continued to dampen our trading gains. HFT competition does not only tighten bid offer spreads but also exposes us to the many different schemes they use to take advantage of our quotes when they are in a liquidity-taking mode. We expect some increased regulatory scrutiny over HFTs in the near future but do not believe that this will have much of an impact. These changes include the stricter enforcement of new professional designation rules implemented in the early part of the past year by several option exchanges, the hedge fund registration requirements and new short-selling rules. In addition, the SEC recently wanted to ban naked access, which accounts for a significant amount of trading volume. The ban will prevent exchange members from renting out access to unlicensed traders that could trigger a systemic event due to a lack of proper credit check and risk controls. This ban could have some positive impact on our business segments once it starts being enforced, yet it's too early to quantify. In market making it would improve our competitive position by damaging HFT's time-sensitive strategies if they have to go through a licensed broker or bear the added cost of registering themselves as market makers or brokers and losing out on top-tier savings they receive by aggregating their volume. As a broker, we may benefit by receiving some of these HFTs as customers. Market participants have six months to comply with the new rules so we will not see the full effects until the second half of this year provided that the SEC will stick to that date and will not postpone further. These changes targeted at HFTs may reverse the trend of a deteriorating environment for market makers but I'm still skeptical. While the changes should be positive for our business, the overall effect so far has been marginal at best. Spreads widened ever so slightly in the fourth quarter but they still remain historically very tight. The average effective spread in the fourth quarter was about 9% tighter than a year ago and 60% tighter than two years ago. Lower volatility has also contributed to tighter spreads. As you know, we are a beneficiary of higher volatility with the optimal range for the mix being in the mid-20's. The average VIX was about 19 in the fourth quarter, 16% lower than the year-ago quarter and 20% lower than the previous quarter. The ratio of actual to implied volatility is also historically very low, which has weighed on our market making profits due to our long volatility posture. In the fourth quarter, the ratio was about 61%, the lowest level since we went public. It is very likely that we will once again see periods of elevated volatility as risk perceptions fluctuate or when the next calamity strikes, though the timing and duration of these periods can never be predicted. In the meantime, our highly-automated business and low cost structure allows us to be profitable even in this challenging environment. But we must recognize that we are coming dangerously close to the break even line. Exchange rate option volumes continue to climb. In the fourth quarter, US option volumes were 20% higher than a year-ago quarter and global option volumes were 15% higher. By comparison, our market making option volume grew by 5% over the same period. As the result, our market share fell to 9.3% globally and 12.2% in the US in the fourth quarter. This is a reflection in part of us having withdrawn from certain markets and in part due to the fact that much of this increased volume is brought on by more professional-to-professional trading. It's not the kind of volume in which we seek to participate. In the recent past I have been speaking in front of exchange executives, politicians and regulators about market structure. I believe there are significant flaws that put our financial system at risk, diluting incentives to be registered a market maker and put bona fide market makers like ourselves with explicit quoting obligations at a disadvantage to HFTs that act like market makers on their own terms. I have been quite vocal about my concerns and provided regulators with recommendations for change. You can see my latest speeches on our website under About IB and comments, letters and papers. Overall, while I have always been a strong advocate for the advancement of technology to make the markets more efficient, reduce the cost of trading and increase overall liquidity and transparency, I believe that we may finally have reached the point of too much of a good thing and created a runaway train with no one at the switch. On May 6 we saw a glimpse of what could happen when that train gets derailed. As long as we have a multitude of asset classes and exchanges with different schemes for attracting order flow there will always be opportunities for high-speed traders to employ manipulative strategies to collect fractions of pennies over thousands of trades and make a decent enough profit to continue to carry on and employ new profit-making schemes that in the end of the day could put market makers at a disadvantage, hurt individual investors and call the integrity of our markets into question. To sum up on market making we must continue with our program of cutting in areas of market making that do not seem to have much promise and focus more resources behind those areas that do. The net effect of this will be a slowly sinking market making business up until we will see either increased volatility or increased investor volume or diminished competition or, finally, some concrete fallout from the FIN REG legislation that could open up new opportunities for our high levels of capital. Should none of these scenarios materialize, we are likely to pay our additional capital in dividends. Now I would like to discuss the performance of the electronic brokerage segment. I'm proud to report that this business continues to grow at a stellar pace which outshines all of our peers. Our pre-tax profits for the year were $275 million, of which $75 million was earned in the fourth quarter. Our customer accounts grew 18% year-on-year, while none of our competitors that published these statistics have grown even at half this rate. This performance confirms the success of our strategy. We attract customers by being the absolute lowest cost broker that caters to sophisticated financial professionals offering them free access to our superior trading platform, the ability to trade a multitude of products and currencies in markets all over the globe at astonishingly low commissions and financing rates, all from one account. We have made great strides this year in strengthening our bran with this message. In fact, this past quarter has been our strongest in terms of account growth, customer deposit growth and margin balance growth, ever. This momentum is driven by an ever-extending base of satisfied customers that effectively serve as a secondary sales force and spread the buzz about Interactive Brokers. Customer deposits are, in our case, perhaps the most important metrics. Over the past year, this grew by an impressive 45%. Compare this to the performance of the S&P, which grew about 13%. Of course, the two aren't actually comparable since the growth of customer assets depends on the size of accounts we add versus ones we close and the overall performance of our customer accounts. We are successful in attracting larger accounts. While the majority of accounts are still small, under $25,000, the average equity per customer account has grown from $114,000 a year ago to $140,000 today, thanks to several initiatives we have been working on to attract larger accounts. Our customer trading activity is growing at a healthy pace. Our cleared DARTs increased 9% over 2009 and increased 5% sequentially. If you compare this to other eBrokers you will see their customer trades actually dropped or remained flat compared to the prior year. Pre-tax profit for our brokerage segment increased 19% year-over-year, while other eBrokers actually shrank profit. Our brokerage profit margin came in up 51% for the quarter compared to 48% in the year-ago quarter. You may find it curious that our profitability is so high despite being the lowest cost broker. We are able to keep our fixed cost very low thanks to the automated nature of our business, which requires less human intervention than our competitors do. Our real-time marketing system continuously enforces limits for each account and reduces the risk of customer losses that we would otherwise have to absorb or pass along to customers through higher commissions. Another compelling differentiator between IB and its competitors is the quality of our executions, specifically the price improvement our customers receive on executed orders above the industry average. For the first half of 2010 we improved the average price of our customers' executions by $0.53 per US option contract and $0.28 per 100 US shares and a whopping EUR2.84 on 100 European stock shares. How do we do this? It's quite simple. We route the vast majority of our customer orders to public transparent exchanges where they will get the best price rather than selling our customer orders to internalizers like other brokers do who are looking to avoid exchange fees and collect a hefty order flow repayment. I'm still puzzled why our regulators can allow this to go on. In the meantime, savvy traders understand the significant impact this can have on their results. As further proof of our exceptional routing capabilities, we have marked all of our customers' stock trades to the closing price of each day of the trade. I'm happy to tell you that adding up these numbers for the year, our customers together, as a whole, have made a profit, not a loss, a profit, of $20 million. This is, I guess, could be called negative slippage. Our superior price execution is nothing new. Our smart router uses the backbone technology we use for our market making to find the best price for our customers. Up until now, this concept hasn't received much attention and, as embarrassing as they may be, most brokers' execution reports that are required to be published go unnoticed. However, the ongoing debate over market structure has brought this issue into focus and I can assure you I take every opportunity possible to highlight our performance. Our brokerage business continues to expand internationally. In Japan we became members of the Tokyo stock exchange and began to offer trading through IB Japan for local Japanese customers. We have also upgraded our clearing system to be able to carry customers in multiple brokerage companies. This allowed us to carry Japanese customers in Japan and it is allowing us to carry international customers in the UK. In the UK we've begun to offer listed structured products and gold bullion to international customers. We also, as of today, began to offer contracts for differences, which are basically stock swaps that may be tax efficient in countries where there is stamp tax. We are busily engaged in other key software development for our platform that will set us further apart from our competitors and crystallize our brand as unique to our customer base. For understandable reasons, we do not publicize these initiatives until they are ready to be rolled out to our customers. We have an exciting future ahead of us. We've built a solid foundation for our brokerage business and we have a huge opportunity to leverage it and continue to propel ourselves even further ahead of the competition. We are more globally diversified than any other electronic broker and, thanks for our highly automated business, we are able to operate more efficiently and pass the savings over to our customers. I have always believed this is the key to attracting more accounts and successfully growing our brokerage business and the results seem to confirm this. Now, I will turn this over to our CFO, Paul Brody, who will talk about the financials.
Paul Brody: Thank you, Thomas. Welcome, everyone. As usual, I'll first review the summary results and then discuss the segments before we take questions. As you can see in our earnings release, there were two items affecting our 2010 results that we view as non-operating in nature. The first is the substantial dividend we paid during December, which increased the reported income tax expense but had no net effect on income. The second is the reporting of our currency translation gains and losses under GAAP which effectively shifts a portion of our currency hedging results from the income statement to the balance sheet. The currency reporting issue has been discussed in a number of prior occasions and we felt that the time was right to include it in our regular offering of financials. We have isolated these items in our reporting so as to give a clearer presentation of the state of our operating businesses. We will refer to these adjustments and the resulting financial amounts as non-GAAP measures and on today's call I will primarily be referring to these non-GAAP measures. The first item, in December we affected a series of dividend payments culminating in a dividend of $1.79 per share, which was paid to holders of IBKR common stock. In total, the company paid out about $1 billion. Funding for this dividend originated with our Swiss company, which paid a dividend to IBG LLC, its parent company. IBG LLC in turn paid a dividend to its share holders including Interactive Brokers Group, Inc, the public company. On a consolidated reporting basis, these dividends had no effect on the company's reported income. However, the original dividend from the Swiss company was made from earnings that were not previously taxed in the US. As a result, this triggered a US federal income tax liability for the public company, which is reported as income tax expense in the statement of income. This income tax liability was funded by reserving a portion of the dividend that the public company received. The remaining after-tax amount was paid to the company's public shareholders. The result was cash flow neutral for the public company. The company also decided to pay the dividend to employees holding unvested shares in our stock incentive plan. This amounted to about $10 million and was recorded as a compensation expense. The purpose of recognizing this non-GAAP measure is to separate these effects of the special dividends from the company's regular operating results. It's worth noting that if we determine to pay additional dividends in the future, approximately $450 million worth would be paid from earnings previously untaxed in the US based on current financials. That is, they would be subject to a US tax similar to the December dividend. Dividends paid from the remaining $3.7 billion of our equity would not be subject to additional income tax. The second item, as we've noted in the past in connection with our currency hedging strategy, we have determined to base our net worth in GLOBALS, a basket of major currencies in which we hold our equity. Pursuant to GAAP convention, a portion of our currency translation gains and losses is reported as other comprehensive income in the balance sheet. More specifically, it is the change in the dollar value of our foreign subsidiaries. This income is, in effect, shifted from the reported earnings to the balance sheet. Given our approach to managing our currency exposure globally, this shift is arbitrary and it tends to make our operating results more difficult to understand. The purpose of recognizing this non-GAAP measure is to report all currency translation gains and losses as if they were included in the income statement. Please note that this analysis contains certain assumptions about tax rates and should, therefore, be considered an estimate. In summary, these two items reduced diluted earnings per share by approximately $0.95 for the year. The dividend had a $0.71 impact and the GAAP presentation of currency translation accounted for $0.24. We have included several tables in the earnings release that detail the reconciliation of our GAAP to non-GAAP results. Now for the performance measures, 2010 was a challenging year in market making and another stellar year in brokerage. On a non-GAAP basis, our net pre-tax profits of $499 million represented a return on equity of 10.2% as compared to 14.7% in '09. Consistent pre-tax profit margins in the 50% range in brokerage enable us to maintain an overall non-GAAP profit margin of 47% for 2010 while the mix of our businesses clearly shifted. Overall operating metrics were mixed for the latest quarter but solidly up in brokerage. Average overall daily trading volume was 870,000 trades per day, down 2% from the prior year quarter and down 3% for the full year versus '09. Market making trade volume was down 12% from the prior year quarter. However, the results across product types were mixed. Options and Future contract volumes were up 5% and 6% respectively while shares of stock traded were down 21%. However, electronic brokerage metrics continued at a strong pace with healthy increases in the number of customer accounts and especially in customer equity. Total customer DARTs were up 8% and cleared customer DARTs were up 9% from the year-ago quarter. Orders from cleared customers who clear and carry their positions in cash with us and, therefore, contribute more revenue continue to account for about 90% of total DARTs. Net revenues on a non-GAAP basis were $249 million for the fourth quarter, up 20% from the year-ago quarter and $1.07 billion for the full year, down 11% from the prior year. Trading gains on a non-GAAP basis were $104 million for the quarter, up 27% from the same period in '09. Commissions and execution fees were $97 million, up 9%. Net interest income was $35 million, up 113% from the fourth quarter of '09. Other income was $12 million, down 38%. Non-interest expenses on a non-GAAP basis were $135 million, down 9% on the year-ago quarter and up 3% for the full year driven by lower variable costs, which partially offset higher compensation expenses. Our fixed operating costs have remained fairly stable. Within the non-interest expense category execution and clearing expenses were $66 million, a decrease of 9% from the year-ago quarter. This reduction in variable costs came from the market-making segment in which a higher proportion of the US options volume was executed on make or take exchanges that pay market makers to provide liquidity. Compensation expenses on a non-GAAP basis were $41 million, a 14% decrease from the year-ago quarter. For the year, compensation expenses were up 9%. At December 31, our total headcount was 857, an increase of 7% from the prior year headcount. We have slowed the pace of hiring except in targeted areas including software development and customer service. As a percentage of net revenues on a non-GAAP basis, total non-interest expenses were 54% and, out of this number, execution and clearing expense accounted for 26% and compensation expense accounted for 17%. Our fixed expenses were 28% of net revenue. Pre-tax income on a non-GAAP basis was $114 million, up 93% from the same quarter last year and for the year non-GAAP pre-tax income was down 23% from '09. For 2010 on a non-GAAP basis, market making represented 46% of pre-tax income and brokerage represented 54%. These proportions shifted from 65% for market making and 35% for brokerage in the prior year on a comparable basis. For the fourth quarter, our overall pre-tax profit margin on a non-GAAP basis was 46% as compared to 29% in the fourth quarter of 2009. Market making pre-tax profit margin on a non-GAAP basis was 36%, up from 4% in the year-ago quarter and brokerage pre-tax profit margin was 51%, up from 49% a year ago. For the full year of 2010, pre-tax profit margins were 45% in market making -- that's non-GAAP -- and 50% in brokerage. For the full year on a non-GAAP basis, we earned pre-tax income of $499 million on net revenues of $1.07 billion as compared to 2009 when pre-tax income was $649 million on net revenues of $1.21 billion. 2010 full-year overall pre-tax profit margin on a non-GAAP basis was 47%, down from 54% in '09 on a comparable basis. Diluted earnings per share on a non-GAAP basis were $0.15 for the quarter as compared to $0.07 for the fourth quarter of 2009. For the full year 2010, diluted earnings per share on a non-GAAP basis were $0.73 versus $1.04 on a comparable basis in '09. Looking at the balance sheet, it remains highly liquid with low leverage. We continue to actively manage our access liquidity and we maintain significant borrowing facilities through the securities lending markets and with banks. As a general practice that we adopted when the credit market environment first tightened in 2008, we continue to hold a higher level of cash on hand, which can be seen on the balance sheet. This provides us with a buffer should we need immediately available funds for any reason. We also continue to maintain well over $1 billion in excess regulatory capital in our broker dealer companies around the world. Our high level of liquid assets allowed us to pay the dividend of approximately $1 billion without a significant impact on our cash and position management function. Long-term debt to capitalization at December 31 was 6.5%, which was up from 4% at year-end '09 but this is primarily due to a short-term utilization of our revolving senior credit facility. Our consolidated equity capital at December 31, 2010 was $4.22 billion. Looking at our segments briefly beginning with market making, [turning] gains for the fourth quarter of 2010 on a non-GAAP basis were $100 million, up 23% on the year-ago quarter and down 30% for the full year on a comparable basis. Net interest from market making was $4 million and that's an increase from roughly flat results from the year-ago quarter. Net revenues on a non-GAAP basis from market making were $106 million, up 30% from the fourth quarter of '09 and down 28% for the full year on a comparable basis. A shift in options volumes and exchanges with lower costs led to a 25% decrease in the variable cost of execution and clearing, our largest expense category, mounting to 48% of non-interest expenses for market making from the fourth quarter of '09 to $33 million. Pre-tax income from market making on a non-GAAP basis was $39 million, up $3 million on a comparable basis in the year-ago quarter. For the full year of 2010, pre-tax income for market making was $238 million, down 45% from the prior year on a non-GAAP basis. Turning to electronic brokerage segment, despite the usual fourth quarter holiday period, customer trade volumes were brisk, up across the board in options, future and prominently in stocks as compared to the year-ago quarter. Customer accounts grew by 18% over the total year-end '09 and by 5% in the latest quarter. Total customer DARTs were $373,000, up 8% from the year-ago quarter and up 5% from the third quarter of 2010. Our cleared customer DARTs, which generate direct revenue for the brokerage business, were $337,000, up 9% on the year-ago quarter and up 5% sequentially. The average number of DARTs per account on an annualized basis was 550, down 8% from the 2009 period but up 1% sequentially. As we have tracked larger customers we are observing increases in the average trade sizes in stocks and futures and a slightly higher average commission per DART at $4.28. Customer equity grew to $22.1 billion, up 45% from the year-end 2009 and up 17% sequentially. These increases took place during periods in which the S&P 500 index rose 13% and 10% respectively. The source of this growth continues to be a steady inflow of new accounts and customer deposits and, to some extent, customer profit. We believe this reflects a continuing trend of customers transferring their accounts to interactive brokers for safety and security as well as for our advanced execution services. In addition, during 2010 we highlighted our favorable financing rates in some of our advertising, which has led to a 94% increase in customer margin borrowing. Trade volumes drove revenue from commissions and execution fees to $97 million, an increase of 9% from the year-ago quarter and 8% sequentially. For the full year, this top line revenue was up 10% from 2009. Net interest income for brokerage rose to $32 million, up 88% from the fourth quarter of '09. Lower benchmark interest rates have continued to compress the spreads earned by our brokerage unit on customer credit balances, although somewhat less than in prior periods. Average US interest rates measured by the overnight Fed funds rate were 0.19% during the fourth quarter of 2010 as compared to 0.12% during the fourth quarter of '09. Over the same time period our average customer cash balances increased by 53% and, as I mentioned, customer margin borrowing increased 94%. As a result, our net interest income rose to 22% of net revenues from 14% in the year-ago quarter. Net revenues from brokerage were $146 million for the quarter, up 17% from the fourth quarter of '09 and up 13% sequentially. For the full year, net revenue from brokerage were up 15% from the prior year. As with our market making segment, execution and clearing fees account for a large part, now 46% of our non-interest expenses in brokerage. Driven by increases in trade volume across all product classes, these variable costs increased to $33 million for the quarter, up 17% on the year-ago quarter and 5% sequentially. The primary driver here was the 19% increase in futures volume where the exchange fee structure is substantially higher than in other products. Our real-time risk management systems operated well during the quarter and there were no unusual errors or reserve for bad debt. Pre-tax income from electronic brokerage was $75 million for the fourth quarter, up 21% on the year-ago quarter and up 18% sequentially. For the full year 2010, pre-tax income from brokerage was $275 million, up 19% over the prior year. Now, I'll turn the call back over to the moderator and we will take some questions.
Copyright policy: : THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.:
Operator: (Operator Instructions). Your first question comes from the line of Niamh Alexander - KBW.
Niamh Alexander - KBW: Paul, if I could just touch on the FX because before mainly -- there's two components to it as you've said. One is kind of a slow P&L item as respect to the trading gains. The other is traditionally the OCI, which is just the change in valuation of your foreign subsidiaries. I'm just curious as to why you've now decided to put that kind of a balance sheet item through the non-GAAP adjustment. Is this the kind of new methodology going forward?
Paul Brody: Well, as you know, we've been discussing this for many quarters going back and it seems to be something that everyone always wants explained. It seems that the time is right to put it in writing. The way we manage our currency exposure is such that we consider it all to be P&L and it's only the conventions of GAAP that arbitrarily separates it into an income statement component and a balance sheet component. We think that from a management standpoint it's clearer if it were all in the income statement.
Niamh Alexander - KBW: So do I understand it correctly that theoretically the change in value of your international subsidiaries is now a flow item on a non-GAAP basis? You are going to report it as an income or a loss.
Paul Brody: Yes, that's right.
Niamh Alexander - KBW: Then, if I could switch over to market making, please -- Thomas, thanks so much for your color. I know it's been painful for you as you've kind of gone through all the market structure changes. But you kind of -- some new commentary from you suggest that instead of kind of maybe withdrawing registration from certain [inaudible], as you said before, about you maybe withdrawing being a market maker and joining the high frequency traders. It sounded like maybe you're getting closer to just getting to break even in the market making business and even just pulling back entirely and just allocating the capital or paying out the capital. Do you think we're pretty close to that? Am I hearing you correctly there?
Thomas Peterffy: No. I can't see into the future. I think that if the trend continues in the direction that it has been going for the past two years, then a year from now we'll get there. But I don't think that it will continue because why would so many people participate in this business when there is no profits to be had?
Niamh Alexander - KBW: So I guess we've got maybe a few more quarters before you get to that decision and to where you kind of change. It's still mostly US-centric that the trends have come so negative, right?
Thomas Peterffy: No, definitely not, no. It's a worldwide phenomenon.
Niamh Alexander - KBW: Just on the brokerage business, can you help me understand maybe you're far outpacing all your competitors in terms of the customer growth -- congrats -- and the margin growth. Is there kind of a difference here in that you are more international? Are you seeing a bigger proportion of your new customers coming in from the international markets and do you see opportunity to continue the growth at this pace?
Thomas Peterffy: No, it is proportional. International has been steady, has been for 1.5 years now.
Niamh Alexander - KBW: Then lastly, if I could, on the brokerage side of it, we talked -- I asked you last quarter about acquisitions in the space, maybe acquiring some lower valued brokerage businesses with the same types of customers and we're seeing you kind of increase your stake in, well, sort of a similar business. How have your thoughts progressed on acquiring accounts through M&A rather than organic?
Thomas Peterffy: As I always say, we find that it is easier to build than to buy.
Operator: Your next question comes from the line of Rich Repetto - Sandler O'Neil.
Rich Repetto - Sandler O’Neil: I guess the first question is as we go from GAAP 66 to operating a 15, can you break out what was the component of the tax -- just for the quarter, what was the component of tax and what was the component of the FX OCI adjustment?
Paul Brody: The OCI adjustment was about $0.71. I think it's what I reported already. I'm sorry. The dividend adjustment was $0.71. The dividend was a one-time event, therefore, its impact was the same for the quarter as the year. The remainder would be OCI -- in other words, about $0.10 for the quarter and $0.24 for the year.
Rich Repetto - Sandler O’Neil: $0.10 for the OCI for the quarter?
Paul Brody: Yes.
Rich Repetto - Sandler O’Neil: Then another question, Thomas, is when you said that you're pulling back in certain areas, the market share decline reflected pullbacks in certain areas, I’m sure some I would assume is geographic but could you also tell us -- ?
Thomas Peterffy: I'm not going to get into this, Rich. I'm sorry. We have been severely penalized for being so transparent.
Rich Repetto - Sandler O’Neil: Then when you said that you're looking at dividending -- I’m just -- I heard the conversation just from the other question but are you saying in one year? Is that sort of the timeframe that you would seriously consider dividending more of the $4.2 billion that's in equity or is it sooner?
Thomas Peterffy: Look. I have said if it looks like the market making does not improve and if we look out into the future there is no promise, then we will continue to dwindle out our excess capital.
Rich Repetto - Sandler O’Neil: I was trying to get a clearer picture on what -- .
Thomas Peterffy: Actually when we would pay it out? We would probably pay it out sometime in the course of the year, some of it.
Rich Repetto - Sandler O’Neil: So it's within a year then that you could consider this seriously.
Thomas Peterffy: That's right, yes.
Rich Repetto - Sandler O’Neil: Then I guess my last question is that some of the metrics are pretty awful in regards to the actual -- I'm talking about the environmental metrics.
Thomas Peterffy: They are horrendous.
Rich Repetto - Sandler O’Neil: So I'm trying to get a feel for -- you have tough metrics here actual to implied. You’ve got low volatility or -- here's the question. What do you think is attributable to high-frequency trading, some of the issues that you think can get resolved, and then what are more attributable to just the market environment that's giving you conditions of 0.61 actual to implied ratio of volatility?
Thomas Peterffy: I'm sorry. I don't have a number for you but if you look at -- as long as volatility keeps going down it can't go down forever because it cannot go below zero. So I think that we have gone from over 40 to wherever we are right now, 17, I think that most of what could be, what the volatility could drop by. So it's got to be a little better going forward.
Rich Repetto - Sandler O’Neil: But we have seen extended periods where the volatility's been in the low teens as well and you -.
Thomas Peterffy:
Rich Repetto - Sandler O’Neil: I think I get it. It's just that it sort of seems like when we have periods of high volatility it's sort of -- .
Thomas Peterffy: The issue is that when volatility is low it's easier for HFTs to compete with us and so it -- where volatility is low, market makers do not have too much of a risk, so the bid offers that come then -- and traders lose their appetite to trade because nothing much happens in the market.
Rich Repetto - Sandler O’Neil: Just I guess summing it up, it seems like the best period for you is rising volatility with a long-vol position but periods of low volatility or declining volatility, it seems like these are significant headwinds to the model. It's as simple as that.
Thomas Peterffy: That's right.
Operator: Your next question comes from the line of Robert Niewijk - Katana Capital.
Robert Niewijk - Katana Capital: Why not carry through on your previous warnings to just give up your Market Making designation and actually do your own high-frequency trading?
Thomas Peterffy: Well, we don't think that we would make more money doing high-frequency trading as long as we would stick to the rules and we would continue to do what we believe is right and would not do anything that we believe is manipulative. I don't think that our high-frequency trading would be so much different than our market making. Operator (Operator Instructions). Your next question comes from the line of Mac Sykes - Gabelli & Co.
Mac Sykes - Gabelli & Co: Do you think you could just provide the amount of capital between the two segments currently?
Thomas Peterffy: I do. The brokerage is currently about $1.2 billion, $1.4 billion. Then it leaves $2.8 billion for the rest.
Mac Sykes - Gabelli & Co: Do you think you could use more capital at the brokerage unit?
Thomas Peterffy: No.
Mac Sykes - Gabelli & Co: Then I guess before you answer that -- no? Then just to follow-up, could you see a time where, in the future, where your growth might be faster than your ability to produce capital organically where you'd want to have excess -- or access to that, or do you just think that your capital -- ?
Thomas Peterffy: If opportunities arose in the market making segment, yes, then we could use -- I mean, that would be wonderful news.
Mac Sykes - Gabelli & Co: I guess on the brokerage side, so maybe growth of assets?
Thomas Peterffy: I don't see how to use more capital on the brokerage side. I don’t see how to use the capital we have on the brokerage side. The most of the reason for the capital is to be a credible broker.
Paul Brody: There are regulatory minimum requirements but there -- .
Thomas Peterffy: Well, they are tiny.
Mac Sykes - Gabelli & Co: I guess if the model -- if your brokerage, if you got some bigger clients, I was just thinking there might be an opportunity in the future where you would want to have access to more capital and that might be an issue if you dividend it out because of market.
Thomas Peterffy: You mean for huge margin loans to specific people?
Mac Sykes - Gabelli & Co: Maybe not those kind but bigger actual clients or something like that.
Thomas Peterffy: Sorry, I don't foresee such an event.
Operator: Your next question comes from the line of Edward Ditmire - Macquarie.
Edward Ditmire - Macquarie: First, a bookkeeping question -- I'm sure you mentioned this earlier but what was the FX impact that ran through the GAAP EPS, not the OCI component but the other FX?
Thomas Peterffy: For the year, $30 million.
Edward Ditmire - Macquarie: For the quarter?
Thomas Peterffy: Zero.
Edward Ditmire - Macquarie: Then secondly, any update on growth in emerging markets?
Thomas Peterffy: Any update on emerging markets? We are -- what?
Edward Ditmire - Macquarie: Apologies, I’m at an airport.
Thomas Peterffy: We are doing some things in emerging markets but we are not ready to talk about it.
Operator:
Rich Repetto - Sandler O’Neil:
Rich Repetto - Sandler O’Neil: I guess my one question is, on this OCI component, wasn't that a component in prior -- once you started disclosing the FX adjustments, wasn't one of them -- wasn't OCI one of the FX components?
Paul Brody: Yes, we have talked about it on many occasions. In fact, last July, if you recall, we put out a release explaining it more fully and how it's an arbitrary split between the balance sheet and the income statement. We're sort of somewhat more formalizing that presentation now to make it easier for you folks to understand.
Rich Repetto - Sandler O’Neil: But these were the adjustments from the past quarter that had the two -- the past two quarters, correct?
Thomas Peterffy: What do you mean by these?
Rich Repetto - Sandler O’Neil: There was the hedging as well as the OCI component.
Thomas Peterffy: It's the same thing. You see, hedging trades turned out to be losses that were offset by the appreciation of the value of the capital in the foreign subsidiaries.
Rich Repetto - Sandler O’Neil: I mean, either way, these numbers were numbers you had given out in the past two quarters.
Paul Brody: It's actually the same numbers that apply to previous quarters, you mean? Yes.
Rich Repetto - Sandler O’Neil: Yes. I am just trying to see whether we came up with a new -- .
Paul Brody: Right, not a new concept; we're just explaining how GAAP requires this arbitrary split between the income statement and the balance sheet.
Operator: (Operator Instructions). I'm showing no further questions in the queue.
Deborah Liston: Great. Thanks, everyone, for your participation and, just a reminder, a replay of this call is going to be available on our website shortly. Thanks again and have a great evening.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may all disconnect. Everyone have a great day.